Carey Phelps: Thanks Darryl. Good morning and thank you for joining us for the GMS earnings conference call for the first quarter of fiscal 2023. I am joined today by John Turner, President and Chief Executive Officer, and Scott Deakin, Vice President and Chief Financial Officer. In addition to the press release issued this morning, we have posted PowerPoint slides to accompany this call in the Investors section of our website at www.gms.com.  Turning to Slide 2, on today’s call Management’s prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties, many of which are beyond our control and may cause actual results to differ from those discussed today. As a reminder, forward-looking statements represent Management's current estimates and expectations. The Company assumes no obligation to update any forward-looking statement in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the Company's filings with the SEC, including the Risk Factors section in the Company's 10-K and other periodic reports. Today's presentation also includes a discussion of certain non-GAAP measures. The definitions and reconciliations of these non-GAAP measures are provided in the press release and presentation slides. Please note that references on this call to the first quarter of fiscal 2023 relate to the quarter ended July 31, 2022.  Finally, once we begin the question and answer session of the call, in the interests of time, we kindly request that you limit yourself to one question and one follow-up. With that, I'll turn the call over to John Turner. JT?
John Turner: Thank you Carey. Good morning and thank you all for joining us today.  The momentum we built during fiscal 2022 has continued into our fiscal first quarter of 2023. We again delivered record levels of net sales, net income and adjusted EBITDA for the quarter and continued the solid execution of our strategic priorities. Market demand for our products during the quarter remained elevated and our yards and storefronts are busy. Looking at Slide 3 with comparisons to Q1 of fiscal 2022, here are some highlights of our first quarter results. We grew net sales 30.5% with 29.4% gross profit growth as our teams continued to work diligently to pass through inflationary product pricing. We recorded more than 20% sales growth and double-digit organic sales increases in each of our four major product categories. Volumes in wallboard improved nearly 9% while ceilings and complementary products volumes were up low single digits. The inflationary product pricing environment combined with our continued operating cost discipline enabled us to improve our SG&A and adjusted SG&A percentages of sales by 80 and 100 basis points respectively.  Net income improved 46.2% while adjusted EBITDA grew 36.6%, and finally adjusted EBITDA margin of 12.9% was up 60 basis points as compared with a year ago. Product price inflation, active residential construction and an improving commercial backdrop coupled with our teams’ commitment to delivering outstanding service drove these solid results. Amid this near term performance, we also continued to execute on our four primary strategic priorities. Slide 4 highlights our progress this quarter in advancing these initiatives. First, expanding share in our core products, our teams again worked diligently throughout the quarter to maintain exceptional levels of customer service and ensure product availability despite continuing supply chain challenges. Notably, this led to year-over-year volume growth in wallboard and ceilings with organic revenue growth of nearly 18% in ceilings and over 30% each for both wallboard and steel framing. We are confident that leveraging our scale and our commitment to exceptional customer service will help us continue to grow the core business as we move forward. Second, growing our complementary products. We continued to diversify and profitably expand our offerings, thereby enhancing our value to our customers. During the first quarter, benefiting from both higher prices and volumes, we grew our complementary product sales by 25% in total and 11% organically. In particular, we are focused on growing some of our larger complementary sub-categories, including tools and fasteners, the stucco and eaves product lines, insulation and joint treatment, which collectively grew 35% for the quarter. Third, expanding our platform through accretive acquisitions and greenfield opportunities, during the quarter we purchased Construction Supply of Southwest Florida, a leading local distributor of various stucco and waterproofing products principally serving the Sarasota market with broader outreach to Tampa and Fort Myers. In addition, we opened two new greenfield yard locations and six AMES stores during the quarter. Our pipeline of potential acquisition targets remains strong and we continue to actively pursue opportunities to broaden our product assortment and expand our service territory to help us provide added value and best-in-class service to our customers.  Finally, our fourth strategic priority is to drive improved productivity and profitability. This is a broad focus across our organization as we continue to leverage our scale and employee technology and best practices that improve both cost and service. For example, by the end of this calendar year, we expect to complete the upgrade of all of our U.S. locations to the most advanced version of our ERP system, thereby fully setting the foundation for our other yard-of-the-future technology initiatives, programs which are expected to drive further improvements in inventory management, warehouse operations, ecommerce capability, and back office efficiency, all with the aim to make us a better business partner for our customers and to help us deliver improved profitability. Overall, I am very pleased with our teams’ drive this quarter to produce both solid results and move our strategic initiatives forward. With that, I’ll now turn it over to Scott to provide more perspective on our results.  Scott?
Scott Deakin: Thanks JT. Good morning. Looking at Slide 5, net sales increased 30.5% year-over-year to $1.4 billion for the quarter. Organically, sales rose 24.1%. From an end market perspective, both residential and commercial first quarter sales in the U.S. were up more than 27% organically year-over-year. Wallboard sales of $521.6 million increased 33.7%, comprised of a 24.8% increase in price and mix and an 8.8% increase in volume. Organically, first quarter wallboard sales grew 31.6% year-over-year, comprised of a 25% increase in price and mix and a 6.6% increase in volume. Multi-family volume gains of nearly 30% outpaced mid-single digit single family volume growth, and we were very pleased to see for the first time since before the pandemic began, commercial volumes in wallboard grew for the quarter both sequentially and year-over-year on improving commercial activity levels.  Our average realized wallboard price has increased sequentially for the past seven quarters. For the quarter ended July, the average realized wallboard price was $438 per 1,000 square feet, up more than 5% sequentially and almost 23% as compared with a year ago. As residential starts have slowed in recent months, we anticipate a slowdown in the pace of price increases going forward, but at this point do not anticipate a marked decline. July levels were consistent with the quarterly average and August was trending higher. Ceiling tile and grid first quarter sales of $167.3 million increased 21.2% over the same period last year, comprised of an 18.1% benefit from price and mix and a 3.1% increase in volume. Organic sales in ceilings grew 17.8% with 15.3% of price and mix and a 2.5% increase in volume.  First quarter steel framing sales of $274.9 million increased 40.1%, comprised of a 47.3% benefit from price and mix partially offset by a 7.2% decline in volumes. On an organic basis, steel framing was up 34.6%, comprised of a 44.5% benefit from price and mix partially offset by a 9.9% decrease in volume. Despite otherwise improving quoting and shipping activity, labor delays, inventory unwinding within the contractor pipeline and project mix, along with a tough comparable period last year, all contributed to this year-over-year decline. More broadly speaking, however, on a sequential basis commercial wallboard, ceiling tiles and ceilings grid volume were all up on a per-day basis while steel commercial volumes were essentially flat as the number of suburban stick-built developments underway outnumber large office highrises. While steel stud pricing has remained more resilient than previously expected, as anticipated earlier this year, prices for this product have begun to decline in the second quarter, with August falling roughly 1% below July’s level. Although difficult to predict, our current expectation is for this to continue with monthly sequential declines likely in the low single digits through at least the start of calendar year 2023. Complementary products sales of $395.8 million, which comprised 29% of our total sales for the quarter, were up 24.6% year-over-year as we benefited from positive contributions from acquisitions as well as strong pricing across the category. On an organic basis, sales of complementary products were up 11.2% with the increase coming mostly from price and mix, with moderately increased volume as well.  Now turning to our gross profit during the first quarter, our gross profit of $434.7 million increased 29.4% as compared with a year ago, principally due to our successful pass-through of product inflation, continued strength in residential market demand, and incremental gross profit from acquisitions. Our gross margin percentage for the quarter came in at 32%, consistent with both the prior year and prior quarter. While we manage the business towards EBITDA levels of profitability to account for mix and cost of execution, we traditionally operate at or around this level of gross margin and believe this to be a reasonable expectation going forward as well. Turning to Slide 6, the operating cost inflation we experienced at the end of fiscal 2022 continued this quarter with particular pressure on items such as salary, hourly and contract labor, as well as fuel. Delivery expenses and incentive compensation were generally higher, driven by our robust level of activity and strong results this quarter; however, as has been the case, product price inflation and the resultant increases in both revenues and gross profit dollars have outpaced these pressures, therefore adjusted SG&A as a percentage of net sales for the first quarter improved 100 basis points as compared with a year ago to 19.2%.  Adjusted EBITDA improved $46.9 million to $175 million for the quarter, up 36.6% as compared with a year ago. Adjusted EBITDA margin improved 60 basis points year-over-year to 12.9% for the quarter, representing an incremental margin of 14.8%.  Finally as related to the income statement, the Company’s effective tax rate increased during the quarter to 26.4% from 24.6% in the first quarter of fiscal 2022, the result of accruals booked in anticipation of expected Canadian tax law changes. For planning purposes, we now expect a 25.5% cash tax rate for full year fiscal 2023. Slide 7 highlights our attractive capital structure and well positioned balance sheet, which provide a foundation and support for the continued execution of our strategic priorities. At quarter end, we had cash on hand of $106.6 million and $270.2 million of available liquidity under our revolving credit facilities. We have no significant near term debt maturities and our net adjusted EBITDA debt leverage at the end of improved to 1.8 times, down from 2.7 times a year ago.  We recorded a first quarter use of cash from operating activities of $4.4 million as compared with $75.1 million used in the prior year period as we built inventory last summer to ensure product availability during the supply-constrained conditions at that time, likewise our free cash use for the quarter of $15.3 million compared to a use of $81.9 million a year ago. While use of cash is seasonally at its highest in the first quarter, as the supply chain constraints have moderated, cash flow has improved. Capital expenditures of $10.9 million for this first quarter compared to $6.8 million in the first quarter of fiscal 2022. For the full year fiscal 2023, we continue to expect capital expenditures to be roughly comparable to those of fiscal 2022 at approximately $40 million. All considered, we now expect full year free cash flow for fiscal 2023 to exceed our previously communicated long term through-the-cycle expectation of 40% to 50% of adjusted EBITDA.  Finally before I turn the call back to JT, as we announced in June, our Board approved an expanded share repurchase program and as such, we opportunistically ramped up our share repurchase activity during the quarter. We repurchased approximately 516,000 shares for $23.8 million compared to 85,000 shares repurchased for $3.9 million during the prior year quarter. Going forward, we intend to employ a disciplined capital allocation strategy to drive shareholder value. The balance is investing in organic growth initiatives, pursuing attractive M&A transactions, paying down debt, and opportunistically leveraging favorable market conditions for share repurchases as they arise. At quarter end, we had $187 million remaining under the current repurchase authorization. JT will now provide some perspective on the broader end markets and review our outlook for our fiscal second quarter.
John Turner: Thank you Scott. Turning to Slide 8, it’s an interesting time in our business with significant contrast between the solid levels of activity we are experiencing today versus the headlines and latest housing metrics indicating a likely slowdown, particularly in the single family market. While total housing starts are retreating from their recent highs, there remains a significant backlog between starts and completions that, depending on the availability of labor and materials, should keep us occupied through at least the end of this calendar year as the industry works to close that gap. While we believe there remains a fundamental residential under-build that will continue to drive longer term demand, in the near to medium term, single family home building completions will likely soften after the current backlog is reduced. The degree, timing and duration of this slowdown is yet to be determined. That said, there is reason to be encouraged both for the upcoming quarter and when looking at our business over the long term. With longer build cycle times than for single family, multi-family starts activity remains robust with active construction likely for the next several quarters. Despite the reality of higher interest rates and overall affordability of housing, demand for residential accommodation is still elevated and the multi-family builders are working to fulfill that need. Also, while we expect wallboard pricing actions to flatten as volume growth moderates and home builders adjust to a slower starts environment, capacity constraints and inflationary dynamics at the manufacturing level suggest that pricing should be stable at least into early calendar 2023. Our GMS business model provides confidence as well. We have the product array and expertise to service the single family, multi-family and commercial markets. Just as the residential business helped to fill the pandemic-driven gap in commercial construction, we are seeing commercial improvement as residential starts begin to decline. With a balanced split between commercial and residential revenues, a broadened geographic footprint and expanded product offerings, we are well positioned to meet the needs of all of our customers. While we are facing some macro uncertainties and will soon roll over the benefits we gained from prior periods of significant product inflation, we remain confident about our position as the market’s economic realities progress. With that as a backdrop, let’s turn to our near term outlook on Slide 9.For our fiscal second quarter, we expect total net sales growth of roughly 20%, most of which will be organic, our gross margin percentage to be generally consistent with that of Q1, and adjusted EBITDA margin of plus or minus 12.5%.  I am pleased with the commitment our team has demonstrated since the beginning of the pandemic and its associated supply chain disruptions to keep us moving forward during constantly changing circumstances. Over the longer term, we are confident that we are well positioned. Our scale, the depth and breadth of our product portfolio, our commitment to serve both the residential and commercial construction markets exceptionally, and our expertise across all project types anchors our ability to continue to grow profitably and provide value to all of our stakeholders. Thank you for joining us today. Darryl, we are ready to open the line for questions. 
Operator:
Operator: [Operator instructions] Our first question is coming from the line of Keith Hughes with Truist. Please proceed with your questions.
Keith Hughes: Thank you. I wanted to dig into your comments on commercial a little bit more. You talked about wallboard being up year-over-year. Are you getting a sense from your customers which part of commercial is the strongest right now - is it education, hospitality, office, whatever? Just any sort of feel there would be great.
John Turner: Yes, hi Keith. I think most of our customers are telling us that the only segment that is not accelerating at this point would be the large in-town office highrise remodel, and/or new. General commercial, hospitality is improving of course of a very low base, education remains strong, healthcare remains strong, so pretty much every segment other than office, large office. We are seeing the general commercial area, the smaller tenant improvement work happening in and around retail, doctor’s offices, dentists, etc., that type of tenant improvement work is definitely happening. 
Keith Hughes: Okay. In the summer, you had some more price increases from suppliers come in, notably ceilings and, I believe, also wallboard. Could you just kind of comment on what you think the success of those increases will be in future quarters here?
John Turner: Yes, I think that ceilings is passing through as we speak. It’s definitely taking. I think that the last wallboard increase is going in as we speak as well. It’s not as easy as it was, obviously, to get those increases, and we just mentioned here in our commentary, we expect the pace of those increases to definitely slow as we go forward, but so far, so good. Everything that we need to do, we’re doing. I think it’s demonstrated again this quarter with our gross margin dollars being almost equal to the growth in the sales, so we’re pushing it through.
Keith Hughes: The steel--your steel comments earlier, volume was down there. Could you just talk again what’s going on in volume in steel?
John Turner: It’s related directly to that office commentary I just gave you. That large office remodel work and new is driven by steel, so what you’re seeing is it’s still hanging in there. Volumes are down but they’re not down terribly, but at the end of the day, that’s the largest consumer of that type of product, is that commercial highrise.
Keith Hughes: Commercial highrise - okay, all right. Thank you very much.
John Turner: Thanks Keith.
Operator: Thank you. Our next is coming from the line of Jeff Stevenson with Loop Capital. Please proceed with your questions.
Jeff Stevenson: Hi, thanks for taking my questions, and congrats on the strong quarter.
John Turner: Thank you Jeff, good morning.
Jeff Stevenson: Good morning. How should we think about wallboard organic volume growth as we move through the back half of the calendar year? Do you believe that strong completions growth and improving commercial demand will continue to drive kind of a mid-single digit organic pace?
John Turner: It’s probably closer to mid single digits. With the environment that we’re in today and the completions rate that we’re at now, the industry is busy, we’re busy, and I would l think mid single digits is appropriate for wallboard volume.
Jeff Stevenson: Okay, great. I just wonder if you could provide an update on the current bidding environment. Has there been any slowdown in any of your end markets as we moved through August, or is everything kind of similar levels to what you saw earlier this summer?
John Turner: You know, the activity level that we’re actually shipping has accelerated a little bit. The bidding level commercially is still, I would say, moderately strong - you know, really low growth there but still growth in commercial as it recovers very slowly, mainly due to the lack of all that office I just was mentioning to Keith. And then of course residential, we’ve only gotten really one data point here in July with the starts starting to come down and we’ll have to keep our eyes on that, but there is still today, when you look at that starts data, it’s the highest levels of under-construction activity between single family and multi-family, is still going on as we speak, since the Great Recession. Last month and this month, basically the same numbers of total units under construction, so there is a lot of activity happening residentially still today.
Jeff Stevenson: Got it, thank you.
John Turner: Thank you.
Operator: Thank you. Our next question is coming from the line of Steven Ramsey with Thompson Research Group. Please proceed with your questions.
Steven Ramsey: Good morning. Maybe just to start with, we’re hearing more feedback of generally dealers not replenishing inventory in various products. Can you talk about how you think about replenishment given the unfinished homes dynamic along with declining starts, and how that plays out through the rest of the year?
John Turner: Sure. The good news for us is that the primary product that we’re selling into new residential, of course, is wallboard, and wallboard turns 12 to 13 times, so for us it’s almost a just-in-time activity. The industry is still pretty tight, particularly east of the Mississippi is still pretty tight, so in that respect we’re still buying and turning our wallboard very quickly. Our steel products, of course as we’re seeing this slight decline and we’ve been unwinding that since really the tail end of last calendar year as the supply chain in steel had stretched quite a bit and now is much better, we’re still unwinding steel a bit but we’ve been bringing that inventory down, and we’re being relatively cautious, let’s say, in our purchases of stock steel. We’re well aware of the likelihood of that slow pace of continuing reduction in our selling prices but also reduction in our acquisition costs, and so we’re being careful not to load up on inventory, and of course the end market volume is declining somewhat, although sequentially, as Scott pointed out, it’s flat sequentially.
Steven Ramsey: Okay, very helpful. Then thinking about the higher free cash flow conversion this year, maybe this topic is related to my first question, but can you talk through the drivers of the higher free cash flow conversion? Clearly Q1 was better year-over-year, but how do you think about this playing out over the next few quarters?
Scott Deakin: I think you’re exactly right - it’s very related. Last year was a big year of cash consumption as we were getting ahead of pricing increases, we were building inventory to make sure we had supply for our customers, there was general disruption in the markets and we carried more on our balance sheet because of that. Inflation was also a factor. As some of that relatively unwinds, we ultimately will have higher cash flows in this year than what we had last year.  As we talked about already in the first quarter, better than last year, and that was even with, as we talked about over the course of last year, higher incentive compensation that was accrued for that ultimately was paid out in the first quarter. That was a draw on cash, and so with that behind us, ultimately we should be very strong from a cash flow standpoint.
Steven Ramsey: Helpful, thank you.
Operator: Thank you. Our next question is coming from the line of Trey Grooms with Stephens. Please proceed with your questions.
Noah Merkousko: Good morning and thanks for taking my question. This is actually Noah Merkousko on for Trey. 
John Turner: Hi Noah, good morning.
Noah Merkousko: My first one, I just wanted to get a little bit of clarification because it looks like in the slides, you’re calling out sequential flattening in wallboard prices for next quarter, but I think you said you saw prices move a little bit higher in August and the manufacturer price increase is gaining traction, so maybe if you could just clarify the expectation there for next quarter?
John Turner: Yes, hopefully the slide says that it’s going to go up by a little bit more. We expect to have a continuation. We are seeing wallboard pricing now move higher sequentially through this quarter, but then again, like we said, we expect it to flatten as we go through the balance of the year.
Scott Deakin: Yes, some of that dynamic was speaking to what we ultimately see from the market. In our case, to your point, which we appreciate you staying close to, is we do have that lag effect that will drive a little bit of benefit into Q2 and then--but generally, given the fact that we’re starting to see some demand softening a little bit on the single family market, we see the pace of the increases that the market has been seeing over the course of the last year or so starting to sequentially flatten.
Noah Merkousko: Got it, that makes perfect sense. Then following up on that, does that outlook contemplate any positive mix shift from--you know, if you see commercial growth outpace residential?
John Turner: Not in the near term. I mean, residential is still very strong, as I pointed out. That backlog is--I mean, some people estimate that backlog at 400,000 single family houses. That’s four or five months of completions at today’s rate with no new starts coming into the pipeline behind it, which is not obviously going to be the case. In the near term, we still anticipate very strong residential volumes, and multi-family is very strong, as Scott pointed out in his commentary - 30% growth in wallboard in multi-family, so I think in the near term, we’ll still see the mix stay right about where it is.
Noah Merkousko: All right, perfect. Thanks for taking my questions. I’ll leave it there.
John Turner: Thanks Noah.
Operator: Thank you. Our next question is coming from the line of Mike Dawe with RBC Capital Markets. Please proceed with your questions.
Chris Kalata: Hi, this is actually Chris Kalata on for Mike. Thanks for taking my questions. 
John Turner: Absolutely.
Chris Kalata: I wanted to touch on capital allocation. I was hoping that you guys could talk through your willingness to re-lever in the current environment to capitalize on any potential M&A opportunities out there, and also maybe take time to talk through what the pipeline looks like today and where private deal multiples are trending currently.
Scott Deakin: Absolutely. We’ve been very clear, I think in the past, that our target is somewhere in the 2.5 to 3 kind of range. We’ve indicated a willingness for particularly strategic opportunities that we’d be willing to go higher than that in an interim period if we believe the combined cash flows of the entities would bring that back down quickly, but generally, the pipeline is very active, it’s very full.  Clearly from the standpoint of valuation, as you think about earnings of these companies relative to valuations in the marketplace, valuation discussions, we’re have to be a little bit more creative as we think through some of those types of things, but the pipeline is full and active, so we would fully expect to, from a capital allocation standpoint, as we said in some of the prepared remarks, strategically our prime consideration is towards continuing to be a consolidator in the space, and we’ll be doing some other allocations to organic activities, organic growth, the capex we talked about in roughly the $40 million range this year - that’s a pretty good number going forward as well, and then we’re doing our share repurchase activity to take advantage of some of the opportunistic valuation that we see in our own share price.
Chris Kalata: Got it, thanks for that. Then just for my follow-up, in the past, you guys disclosed what the exit rate was on wallboard price. I was wondering if you could do this for this quarter relative to the 438 you guys saw for the average.
Scott Deakin: I think we talked about July exiting at about the quarterly average, and we talked about August trending up a little bit. Don’t want to share that number specifically at this point, but it was trending up a little bit.
Chris Kalata: Understood, appreciate the color.
Operator: Thank you. Our last question is coming from the line of Matthew Bouley with Barclays. Please proceed with your questions.
Elizabeth Langan: Hi, you have Elizabeth Langan on for Matt today. Thank you for taking the questions. I was wondering, just kind of jumping back to the flattening pricing, you’d mentioned sequential increase, but could you give us an idea of the capacity constraints that you’re seeing and where you expect that will go throughout the year, and do you have a view on when and how that might start to normalize?
John Turner: I think we kind of put in our comments that we’re not clear on exactly what the degree of residential and single family slowdown will be yet. I think in this next quarter, we’ll get two or three more reads on that. We still see a very large backlog, and like I mentioned, the under-construction units is at a peak from the Great Recession, so we’re talking a peak in the last 12 years. It’s going to take a while for that to unwind. As it unwinds, the degree of this interest rate cycle, the degree of single family slowdown, we’ll have to see if it’s--if it ends up being a deeper trough than we would anticipate right now and what that might do to capacity availability. But right now, the capacity is tight, the east coast is exceptionally tight. I don’t see that changing certainly through the balance of the calendar year and well into 2023, I don’t see that changing.  Then the degree of the commercial recovery that we might see also, as we mentioned, this is the first quarter year-over-year we’re seeing commercial volume growth. While commercial is not anywhere near the same size from a consumption perspective, it is improving, so that also may likely fill that gap.
Elizabeth Langan: Okay, thank you. Kind of switching to gross margins here, could you talk about maybe a little bit of gross margin cadence throughout the year, and with low 30s kind of being a reasonable expectation in the medium term, do you have anything that you’re thinking about what would have to happen for us to see that maybe move lower?
Scott Deakin: We don’t expect it to go significantly lower; in fact, we indicated our history from a gross margin standpoint operates within a pretty narrow band. We really run the business from the standpoint of balancing gross margin against operating expenses to focus on EBITDA level of profitability, reflective of the operating costs, the mix of business between residential and commercial, etc. But on balance as we look across the mix of products, that level that we’re operating at today, you may see a little bit of variation quarter to quarter, but it is a pretty good indication of a level of gross margins that are a consistent reflection of our business.
Elizabeth Langan: Thank you.
Operator: Thank you. We have reached the end of our question and answer session. This does conclude today’s teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.